Operator: Good morning, and welcome to the Jacobs Engineering third quarter 2016 earnings conference call. All participants will be in listen-only mode. Please note, this event is being recorded. I would now like to turn the conference over to Kevin Berryman, Executive Vice President and Chief Financial Officer. Please go ahead.
Kevin C. Berryman - Executive Vice President and Chief Financial Officer: Thank you, Gary, and good morning and good afternoon to all. We welcome everyone to Jacobs' 2016 third quarter earnings call. I will be joined on the call today by Steve Demetriou, our Chairman and CEO. As you know, our earnings announcement and Form 10-Q were released this morning, and we have posted a copy of this slide presentation to our website. We will reference this slide presentation in our prepared remarks. Before starting, I would like to refer you to our forward-looking statement, which is summarized on slide 2. Any statements that we make today that are not based on historical fact are forward-looking statements. Although such statements are based on the current estimates and expectations and currently available competitive, financial, and economic data, forward-looking statements are inherently uncertain. And you should not place undue reliance on such statements, as actual results may differ materially. There are a variety of risks, uncertainties, and other factors that could cause Jacobs' actual results to differ materially from what may be contained, projected, or implied by our forward-looking statements. For a description of some of the risks, uncertainties, and other factors that may occur that could cause actual results to differ from our forward-looking statements, see our most recent earnings release and quarterly report on Form 10-Q, as well as our Annual Report on Form 10-K for the period ended October 2, 2015, including Item 1, Business; Item 1A, Risk Factors; Item 3, Legal Proceedings; and Item 7, Management's Discussion and Analysis of Financial Condition and Results of Operations; as well as other filings with Securities and Exchange Commission. We undertake no obligation to update any forward-looking statements. Please now turn to slide 3 for a quick review of the agenda for today's call. Steve will begin our earnings presentation with some general comments on the business and our results for the last quarter, followed by a summary of market conditions for each of our four lines of business or LOBs. I will then provide some more in-depth discussion on our financial metrics, backlog, and results for our LOBs. I will continue with some comments on our current restructuring efforts and our share buyback program. Steve will then discuss some next steps for the company and focus on the progress of our strategy development before finishing with some closing comments. After, we will then open it up for some questions. Before turning it over to Steve, I would like to highlight a recent change to our board of directors. And as announced a few weeks ago, Noel Watson retired from his role as the Non-Executive Chairman of the Jacobs board. Steve Demetriou, our CEO, was appointed to the additional role of Chairman. We are extremely thankful to Noel for his service and dedication to Jacobs over the years and are especially pleased he will continue to be a member of the board. With that, I will now pass it over to Chairman and CEO Steve Demetriou.
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Thank you, Kevin, and welcome to our fiscal year 2016 third quarter earnings call. Before I begin, I'd like to take the opportunity to personally thank Noel for his priceless guidance and support since my appointment as the Jacobs CEO in August of last year. As you all know, Noel led Jacobs to significant profitable growth while serving as CEO from 1992 to 2006 and has been an amazingly valuable member of the board since. I'm deeply honored to follow in his footsteps as Chairman. With Noel's continued support; with Linda Levinson, our longest-tenured independent board member being named Lead Director; and with our highly experienced and diverse set of directors, Jacobs is well-positioned to further the tradition of strong corporate governance. Slide 4 is a summary of our fiscal year third quarter business performance. During the third quarter global economic conditions posed continued challenges in certain end markets. Specifically, weak commodity prices such as crude oil, copper, and iron ore have negatively impacted our oil and gas and mining sectors. Against this backdrop, we're pleased to report that our backlog at quarter-end was $18.3 billion, up modestly versus last quarter. It is also very encouraging to see how our global business teams are successfully executing on our new strategic focus to upgrade our sales mix. Although third quarter revenue of $2.7 billion trended slightly down, this was more than offset by a significant increase in unit gross margin, which at 16.8% of revenue was the highest we have experienced since early 2015. As we purposely shift to a more profitable mix of clients and markets, I'm confident that we'll soon see the combined benefit of a growing top line that generates higher margins. We're also seeing the benefits of our increased focus on improving project delivery, not only in terms of quality and financial metrics, but based on an increasing trend in positive client feedback. Also in the third quarter, we continued to successfully right-size Jacobs and relentlessly drive out costs across the company, resulting in a significant reduction of $102 million in G&A year to date versus 2015. All in all, third quarter earnings came in at $0.78 per share, flat versus a year ago when excluding a one-time discrete tax benefit in the third quarter of fiscal year 2015. I'm also very pleased with the improved working capital and cash flow performance. Year-over-year operating working capital was down $192 million, and DSO decreased 10 days versus last year. This capital efficiency was a key contributor to a strengthening of our already solid balance sheet, and we look forward to further improvement as our heightened focus on working capital delivers additional cash benefits. Moving to slide 5, and as we announced earlier this year, we're now managing the company by four global lines of business, or LOBs. The chart on this slide shows the breakout of revenues and adjusted segment operating profit by each LOB, excluding non-allocated corporate expenses. Kevin will cover more financial details on the LOBs, but here we provide insight into the differing economics of each business as it relates to the mix of profitability versus the top line. In summary, the strength of our Aerospace & Technology, Buildings & Infrastructure, and certain higher-value Industrial businesses demonstrate the importance of our diverse portfolio and why we're able to maintain profit stability during a period of very challenging macroeconomic pressures. Specifically, during the third quarter, we were able to see segment operating profit growth in three of our four lines of business versus a year ago. Of these, our Industrial LOB showed the most improvement in segment operating profit, up 32% versus last year's third quarter, followed by Buildings & Infrastructure and Aerospace & Technology, up 21% and 16%, respectively. These improvements more than offset the challenges we faced in Petroleum & Chemicals, which was down 29% versus the year-ago quarter. Overall, segment operating profit for the company was up 7% versus the year-ago quarter when excluding non-allocated corporate expenses. Although we're not satisfied with Jacobs' bottom line results, we're pleased with the improvement in segment operating profit margins versus last year, a good indication of our efforts to drive a culture of greater accountability to achieve more profitable and higher-margin work. Progressing to slide 6, a summary of our Aerospace & Technology LOB, which continues to be a bright spot for Jacobs. This business covers a variety of clients and government agencies that range from NASA to the Department of Defense, U.K. Nuclear Decommissioning Authority and also the intelligence community. Backlog for the LOB grew by more than $200 million since last quarter and now stands at $5.1 billion. Importantly, the higher-margin professional services portion of this backlog increased over $300 million with a favorable margin opportunity. In the near term, the customer programs we're supporting continue to receive stable funding, and we expect that to continue in most of our key markets and geographies for the foreseeable future. This is somewhat mitigated by the ongoing trend toward small-business set-asides, which we'll need to continue to work towards offsetting in our drive for (9:31) profitable growth. As we have previously discussed, in this LOB we're experiencing extended procurement cycles and award protests in our U.S. government services markets. However, the $250 million awarded but not in backlog mentioned last quarter has been reduced to $140 million on the strength of several previous wins that have finally cleared the protest process. Additionally, in the U.S., we have won all of our major rebids awarded this fiscal year, and aerospace and defense remains healthy. Looking forward we have a solid pipeline of new business opportunities and have targeted over $3 billion in total contract lifecycle revenue prospects closing in the next 18 months. Last quarter we announced the acquisition of Van Dyke Technology, which expanded our intelligence community and cyber-security capabilities. We're targeting this strategic investment to drive additional growth, and we expect the homeland security, cyber, and intelligence related markets to remain strong for the foreseeable future. In addition to our traditional government clients, we're building momentum via collaboration with other Jacobs lines of business and are looking at opportunities to bring our IT and cyber capabilities to bear with our commercial sector customers. While the quarter was positive for our U.S.-based work, the recent Brexit vote is creating some uncertainty, specifically in the U.K. nuclear build sector. As previously discussed, we have already been awarded a major framework contract with the Hinkley Point C nuclear project, and we were pleased with the recent EDF board final approval. The U.K. government has indicated they will make their decision in the fall. All indications are that all three nuclear build programs in the U.K. will continue forward, even in light of the Brexit vote. We'll continue to closely monitor this. And the environmental sector is producing a solid pipeline for our Aerospace & Technology LOB. We're successfully maintaining our work with the U.S. government while expanding into the commercial sector, including a framework agreement we signed with one of Jacobs' major traditional customers in the Petroleum & Chemicals LOB. Turning to slide 7, our Buildings & Infrastructure LOB was steady overall, with backlog largely flat at $4.8 billion versus last quarter and last year. We're experiencing growth in the healthcare industry, driven by the dynamics of an aging population. In the corporate building sector, we remain focused on a select base of high-quality opportunities where we can leverage client relationships and synergies across four global lines of business. Our mission-critical services continues to grow and develop globally where there's an increased need for data systems and storage. We're continuing to work on projects with city-wide strategies, and we're assisting the drive toward smart cities. We're active on several of these projects across the globe, and expect significant opportunities for Jacobs as the Internet of Things drives interconnectivity across city-wide systems. In infrastructure, there's been an uptick in government rail spending, and several high-speed and light-rail projects are moving forward in the U.S. Our 2015 acquisition of J.L. Patterson & Associates is supporting our efforts, particularly on the West Coast. The U.S. Highway Bill has provided increased spending confidence, with most notable opportunities in areas where regional transportation packages exist, such as Florida, Texas, and California. In the U.K., increased government investment in infrastructure to drive economic development has been a positive, although the Brexit vote may impact this in the mid-term. For the moment, most U.K. clients are saying it's business as usual, but we will continue to monitor the situation closely. In Australia, the federal and state governments are making strong investments in transportation, and we've had a number of positive highway and rail wins this year. Global aviation opportunities are growing, driven by aging airports, growth in passenger travel, and increased spending programs. In the U.S. alone, projections are for more than $130 billion in investment over the next 10 years. To this end, we recently announced the strategic expansion of our global aviation practice, hiring several key individuals and appointing a Global Aviation Business Leader. We're excited about our recent win to support the $8 billion LaGuardia Airport redevelopment program. We're also in the midst of several large-scale aviation pursuits globally. We're also seeing investments in water-related infrastructure in the Middle East, and there are major opportunities across Asia Pacific. The environmental market continues to grow globally as clients look to reduce costs through energy savings and increase sustainability practices. And we're seeing opportunities in Asia for power generation, specifically in the Philippines, Indonesia, and Malaysia. Finally, I'd like to mention that in June, Phil Stassi, who was most recently President of the Buildings & Infrastructure line of business, elected to retire after nearly 40 years with Jacobs. I'd like to take a moment to thank Phil for his leadership and significant contributions to Jacobs over his extensive career with the company, and for all he did to help me in my first year at Jacobs. I'd also like to welcome Bob Pragada into his expanded role as President of the Buildings & Infrastructure LOB, and I'm excited about the strong leadership, experience, and strategic insight he will bring to the organization. Moving to slide 8, our Industrial LOB backlog is at $3.2 billion. This is relatively flat compared to last quarter, but up more than $500 million compared to last year, on the strength of our life science business and our recently announced EPCM contract to support Rio Tinto's Oyu Tolgoi underground copper project in Mongolia. The mining and minerals sector continues to be significantly challenged, as commodity prices remain under pressure, and most client projects are continuing to stall. A few potential large investments in the mining space are being broken up and parceled in order spread out and conserve capital spending. However, as previously mentioned, we were successful in securing one of the only major projects in this industry. This was an exciting win and will have a positive effect on our Industrial LOB as we move into 2017. There continues to be a robust pipeline of work in our life sciences sector, primarily driven by regulatory approvals for next-generation therapies. Recent trends indicate significant future investment in both R&D facilities and manufacturing capacity, with geographic focus in Europe, Ireland, and the U.S. There's a growing pipeline of new drug initiatives, and the need for greater capacity is being accelerated as a result of several clients receiving regulatory approvals. Though we are the clear market leader in the biopharmaceutical space, we continue to grow market share through a strategic focus on sustaining capital opportunities, integrated project delivery, and geographic expansion. We expect longer-term success from several of our early-phase design efforts on programs currently scheduled for next wave manufacturing capacity expansions. Within our specialty chemicals and manufacturing sector, our Chemetics business is benefiting from our focus on sustaining capital programs, supporting the fertilizer and mining industries. We're also working with certain clients to expand our project delivery scope beyond the traditional licensing model in order to participate in full EPC projects. Demand for our Comprimo technology in the oil and gas markets is also increasing, with a recent uptick in project pursuits. Open paper (17:17) activity continues to be brisk, both in the U.S. as well as in emerging economies such as Russia, Brazil, and Indonesia. And although our backlog in field services has been relatively flat over the last several quarters, we're positive on the market outlook and the opportunities to grow. Specifically, our petrochemical customers in the U.S. Gulf Coast and our nuclear and defense clients in the U.K. have accelerated solicitations for integrated EPC programs to be executed in the 2017 and 2018 timeframe. Additionally, we have seen increase in opportunities as our customers look to drive down operating costs through supplier consolidation and productivity improvements. We're putting particular emphasis in the U.S. Gulf region, and we recently announced an expansion of our presence there, including a commitment to increased workforce training and development to meet our customers' needs. And on slide 9, the summary of our global Petroleum & Chemicals line of business. Weak global oil prices continue to negatively impact this LOB. After peaking in June at over $50, oil prices have been steadily declining, and weakness is projected to continue through the second half of 2016. As a result, capital spending across the petroleum sector continues to be down significantly, with certain U.S. clients reducing their spend by more than 50% versus last year. With this backdrop, I'm very pleased that we've been able to stabilize and maintain our Petroleum & Chemicals backlog above $5 billion, as we successfully focus on the downstream side of the industry, where we see attractive opportunities. The upstream oil and gas sector is under the most severe pressure. Saudi Arabia and other national oil companies have kept with their decision to maintain market share. Consequently, oil production in the Middle East continues to rise. Our strong position in this region, especially in Saudi Arabia, has enabled us to selectively participate where capital is being spent. However, margins are under significant pressure due to heavy competition. Outside the Middle East, high-cost producers are being squeezed, especially in the U.S. One of the only positive trends in this sector is the increased production of shale oil, condensates, and natural gas liquids. Process and pipeline infrastructure need to be put in place to move these barrels to market. And this will be an area of continued focus for Jacobs. It should be noted that the upstream sector now represents less than 10% of our total Petroleum & Chemicals backlog, so the downside risk going forward is minimal. Our refining business remains a positive, especially in maintenance, turnaround, and sustaining capital projects. There's an increased focus on process safety and compliance. As a result of our J-Pro (20:05) service, in which we offer our clients world-class process safety management, we're well-positioned to capitalize on this trend. We're also seeing excellent opportunities as customers focus on octane improvement projects and butane disposition, which favors alkylation, a particular strength of ours. Refining demand in developing countries is expected to increase at more than 3% annually. We continue to see requests for feasibility and FEED studies in developing countries in Asia and Africa, and we're looking beyond our traditional markets. We're expecting grassroots refining opportunities in India and South Asia, as both regions continue to develop. The chemicals market continues to provide significant opportunities for Jacobs, and new sales bookings are up sequentially this year. We're seeing opportunities in propylene and ethylene derivatives, primarily on the U.S. Gulf Coast and Saudi Arabia. Meanwhile, crude oil to chemicals projects are seeing a heightened interest, particularly in the Middle East. Additionally, there's increased interest in diversification into value-added products, with a move away from first-line commodity chemicals that are impacted by crude oil pricing trends. There's also good activity in energy efficiency and yield improvement projects. Ethane, LPG, and naphtha feedstocks are plentiful and relatively cheap and may provide the economic incentives for project development. Overall, I'm particularly pleased with how the global Petroleum & Chemicals team has extended beyond our traditional customer base. The team is also expanding geographically and is building up the capability to selectively pursue and win fully integrated EPC opportunities. I'll now pass it back to Kevin to present more details on our financial results.
Kevin C. Berryman - Executive Vice President and Chief Financial Officer: Thanks, Steve. So I'm now turning to slide 10, where you will see a more detailed summary of our financial performance for the quarter. As we have communicated throughout the fiscal year, adverse market conditions in certain end markets continue to negatively impact certain of our businesses. As a result of these ongoing pressures, particularly in oil and gas, our revenue for the third quarter was $2.7 billion, which is down approximately 7% versus our third quarter last year. However, more positively, as Steve mentioned, our backlog stands at $18.3 billion, which is up sequentially versus last quarter. And we'll make a few more comments our backlog a little bit later in the presentation. In addition, our book-to-bill on a trailing-12-month basis was just under 1, at 0.96, which also extends the positive sequential improvement seen last quarter. Meanwhile, our gross margin dollars for the quarter were $451 million, resulting in the highest absolute level in a quarter this year, continuing a positive sequential trend seen over the course of our 2016 fiscal year. The gross margin percentage also improved during the quarter to 16.8%, up 84 basis point sequentially and plus 10 basis points versus the year-ago quarter. Importantly, our gross margin percentage for our professional services business was also up sequentially and versus the year-ago quarter as well. It was also the highest since the fourth quarter of fiscal year 2014. This is evidence of the increased focus of our teams to improve project execution. The benefits from our restructuring also continued to positively impact and contribute to the bottom line during the quarter, resulting in further reductions in G&A versus the year-ago period. Specifically, G&A was lower by $32 million versus the year-ago quarter and by $102 million on a year-to-date basis. Both are clear indications of our success in right-sizing the company and improving financial performance. As a result, our adjusted operating profit for the quarter was $142 million, our highest level in fiscal year 2016, and nearly flat versus the year-ago quarter. On an adjusted basis, EPS for the quarter was $0.78. The $0.78 figure is flat to last year's EPS figure when excluding the discrete tax benefit of $0.19 that was included in the year-ago quarter figure. Finally, as Steve also talked to, traction has been growing in our efforts to improve accounts receivable. The company's DSO levels reduced by 10 days versus the prior-year quarter. While we still have further opportunities to reduce this, the improvement in accounts receivable has helped support a reduction in operating working capital, down to $515 million, which is down $82 million sequentially versus last quarter and $192 million from the year-ago quarter. Operating working capital as percent of the trailing-12-month has a result decreased 130 basis points versus the same calculation a year ago, down to 4.5% of revenues from 5.8% last year. Free cash flow was obviously therefore strong, totaling $164 million during the quarter. The company's net cash position ended at $128 million, up $101 million from the $27 million figure last quarter and up $259 million from the year-ago quarter. So I'm moving on now to slide 11, and you'll see our total backlog stands at the combined $8.3 billion previously referenced, which is slightly up from our Q2 figure, a positive given the tough market conditions our sales teams continue to face in certain end markets. Of note, the $18.3 billion figure includes a negative foreign currency exchange impact of $200 million versus our Q2 figure. Excluding the impact of these FX movements, our backlog actually grew sequentially by $300 million. Versus the year-ago figures, our backlog is down $500 million from the $18.8 billion year-ago figure to $18.3 billion. Again, a large portion of this reduction is also driven by foreign exchange movements. When adjusting for differences in foreign exchange versus the year-ago figure, our backlog on a constant currency basis would have been $18.7 billion, only slightly down versus the year-ago quarter. We're pleased with this performance with general stability in backlog across the portfolio versus last quarter. Even with the end market challenges facing our Petroleum & Chemicals business, the backlog for this LOB was relatively flat on a sequential basis. Our Aerospace & Technology business, which we believe continues to provide good growth opportunities, increased by the $200 million referenced by Steve earlier. Finally, our higher-margin professional services backlog actually grew by $500 million sequentially versus the last quarter and now represent $11.9 billion of total backlog. The remaining $6.4 billion represents our field services work and is sequentially down $400 million. The growth in professional services bodes well for momentum as a business going forward. So, turning to slide 12, I'd like to talk a little bit about our Q3 adjusted segment financials for our four lines of business. As you can see, three of the four LOBs improved their adjusted segment operating profit and profit margin in the third quarter versus the year-ago period. Regarding Aerospace & Technology, while we did see some revenue decline versus the year-ago period, the adjusted segment operating profit increased by 16% and is now up 5% for the nine months year to date. Segment operating profit margins also improved 8% in the quarter, up 140 basis points versus the year-ago period. Improvement in the margin profile is driven both by strong performance fees realized in this year and by an overall improvement in the margin mix of the business. Reduced performance fees in the short term could put some incremental pressure on sequential margins going forward. The B&I business also saw revenue decline for the quarter versus the year-ago period, but adjusted segment operating profit improved by 21% and is up 9% for the nine months year to date. As a result, segment operating profit margins were exceptionally strong in this quarter, 9.1%, up 210 basis points versus the year-ago period. For the year-to-date figure, segment operating profit margin performance was also solid at 7.8%, up 110 basis points versus the last fiscal year period. Despite pressures in the mining industry, revenue for the Industrial of line of business increased 12% versus the year-ago quarter and led to a 32% increase in segment operating profit versus the year-ago quarter. Segment operating profit margin for the quarter was also up and had 4% growth and 60 basis point (29:00) improvement from the year-ago period. Growth in our life sciences business is driving the overall growth picture for this LOB. The improved margin this quarter from last is due to the elimination of the discrete items we discussed last quarter, and our reported margin profile that we are showing this quarter is very much aligned with our expectations. Lastly, our P&C line of business, Petroleum & Chemicals line of business, continued to face end market challenges, as evidenced by the lower segment operating profit versus the year-ago quarter. Although the P&C segment operating profit margin for the quarter is down 40 basis points versus year-ago, importantly, it is up 30 basis points from last quarter, a clear indication of the strong focus on cost reductions in the line of business and the benefits of the restructuring. Finally, our unallocated costs for the quarter remain aligned with our costs in the previous two quarters and represent a mix of cost elements, some of which are inherently predictable and some that are not. Note, just to continue the education process in terms of what we do have in these figures, these costs include acquisition-related expenses, including amortization of intangible assets; adjustments to employee fringe benefit programs, which include medical pensions and other employee benefits; certain litigation costs, including defense and settlement expenditures; and margin adjustments on projects that are not related to LOB performance. Consistent with the first two quarters of the year, unallocated corporate costs totaled $19.5 million and were up year over year due to increased legal defense costs, fringe rate true-ups, and expenses relating to our strategy work. In summary, the fact that three of our four LOBs are up year over year is a clear indication of the benefits of our diversity and our ability to deliver solid operating profit performance in a challenging environment. So, turning to slide 13, a quick update on our restructuring, where we continue to be successful in reducing costs. Certainly this is evidenced by the magnitude of our G&A reduction over the last few months. The restructuring effort to reduce our fixed-cost infrastructure, primarily in labor and real estate, is nearing completion, and our forecasts remain in place. The total cost of our restructuring effort is expected in the $330 million to $350 million range through the fiscal year-end, with the expected gross savings $240 million to $270 million. Please note, these figures include the most recent step we took to exit our French operations. As previously mentioned, some portion of these savings will be reinvested in the business to ensure we position ourselves for profitable growth in the long term. In summary, our actions are helping Jacobs to increase profitability in a challenged economic environment, and we look forward to seeing continued benefits going forward. Moving to slide 14 to provide a short update on our share buyback program. During the quarter, we continued to execute against our share buyback program in a balanced and steady manner. In Q3 we spent $30 million to repurchase 600,000 shares. Year to date we have now spent a total of $102 million in share buybacks, and we expect to continue to spend the remainder of the $500 million of share buyback authorization in a relatively consistent manner over the remaining term of the original three-year program. Again, we continue to work through our strategic review, and our plan is to provide an update on our use of cash and capital structure and in our strategy review day later this year. With that, let me hand it back over to Steve.
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Thank you, Kevin. Turning to slide 15, I'd like to spend a couple of minutes discussing our continued focus on project delivery excellence; upgrading of company systems, tools, and procedures; and the development of our corporate strategy. We continue to focus on several initiatives to drive project delivery excellence, and I'm pleased with the progress as reflected in our margin improvements. Project write-downs continue to decrease versus a year ago, and use of our high-value India execution center is up 15% versus last year. We're implementing new project delivery standards across the four lines of business and developing upgraded and standardized tools to improve on project execution. One example this quarter was the signing of an enterprise agreement with a major software provider to implement a standardized project cost control system, which will provide our project teams with the ability to more effectively manage full-lifecycle project costs in a single platform, lowering our cost and increasing our multi-office execution capability. Also, we're in the final stages of implementing an upgraded enterprise business platform that will deliver powerful analytics across the business and to the operational leaders. This includes our financial systems, business intelligence, and analytics. By leveraging our scale, we'll be able to increase synergies to drive greater efficiency. While these changes involve a long-term transformation, many initiatives are underway and will be accelerated over the course of fiscal year 2017. As Kevin pointed, our companywide restructuring efforts have continued to deliver significant cost reductions as we focus on optimizing our office footprint. Most recently we announced the divestiture of our operations in France, which helped streamline our European business, and to refocus on higher-margin growth areas that provide the best returns for Jacobs and our shareholders. As discussed during our recent earnings calls, we believe that developing and executing a profitable global strategy is necessary for Jacobs to deliver mid- and long-term industry-leading shareholder value. We completed an initial review of our corporate strategy with our board in late July and have now moved in the phase of developing strategies for our four lines of business. To that end, we're finalizing plans for an Investor Day in late November. Moving to the last slide, and while we're pleased with our third quarter, we expect challenging market conditions for at least the remainder of this year. Global uncertainty, compounded by weak growth in developed markets, the Brexit vote, the U.S. federal election, and uncertain political environment in several countries, along with low commodity prices, continue to impact some of our end markets. More positively, we've begun to see a stabilization in our backlog, and we remain focused on driving improved margins. Our strategic review is progressing, and we're using early outcomes to adjust and refocus our business where we see the most promising growth. We'll continue to evaluate, modify, and refocus our portfolio for long-term sustainable shareholder value. In addition, the restructuring we've undertaken over the past several quarters continues to provide momentum, and our strategic review is identifying additional opportunities to further reduce our internal cost and expenses. We're seeing improvements in our project delivery efforts, and write-offs continue to be reduced. Finally, our performance year to date gives us an increased confidence that we will meet our objectives for the year, and we're narrowing our fiscal year 2016 EPS guidance range to $2.95 to $3.15. With that, I'd like to thank you for listening, and we'll now open it up for questions. Operator?
Operator: We will now begin the question and answer session. The first question comes from Jerry Revich with Goldman Sachs. Please go ahead.
Jerry Revich - Goldman Sachs & Co.: Hi. Good morning, everyone.
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Good morning, Jerry.
Jerry Revich - Goldman Sachs & Co.: Steve, Kevin, can you talk about, relative to the margin numbers that we're seeing this quarter by segment, where do you see the most upside as you continue to refine your business process, I guess, versus the segments where you're closer to your run rate target margins? And then, Kevin, obviously the corporate expense line item can move around quarter to quarter. Would you counsel us to think about the run rate we saw this quarter as a recurring item? Or any additional color on the litigation expense as part of that would be helpful.
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Let me start on the margin question. And there's opportunity across all four lines of business, and the strategic review, where we initially focused on a deep dive of understanding the economics down to the office level and client level, has really revealed opportunities to strengthen margins across the company. So, of course there's certain sectors that are giving us more near-term opportunity, such as the Aerospace & Technology, certain Buildings & Infrastructure sectors. Obviously downstream chemicals in the Petroleum & Chemicals line of business, pharma, life sciences. But there isn't any single LOB or business unit inside of each of the LOBs that we're satisfied we're at trend line margin that we should be at. So I think there's going to be opportunity across the board. Kevin?
Kevin C. Berryman - Executive Vice President and Chief Financial Officer: So, Jerry, just very quickly on the – I think the remaining part of that question was relative to the corporate expenses, non-allocated corporate expenses. Look, we've been kind of trending pretty consistent over the first three quarters of the year. Typically fourth quarter is the lower figure because of the relative true-ups associated with various programs that we have. So I give you kind of that direction, that probably the number will probably be a little bit lower in Q4.
Jerry Revich - Goldman Sachs & Co.: Okay, thank you. And then on the U.S. infrastructure opportunities, Steve, can you talk about how that's evolved over the course of the quarter? I guess there was some chatter about administrative delays, at least among the construction materials companies. And I'm wondering if the cadence of the project outlook for U.S. infrastructure or highway jobs has moved around at all as you look at the opportunity set, and how do you feel about the opportunity set in 2017?
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Yeah, generally – again, where we play and the diversity of our Buildings & Infrastructure line of business, we really can't sit here and see any material delays that are impacting that business. We're obviously focused on certain sectors that we believe are moving faster. I mentioned aviation is – we're pretty bullish on, not only in the U.S., but being able to translate some of that capability across the globe, especially in the Middle East and Asia, some opportunities there. And so I think, for us, what we really need to do is continue to strategically narrow in on where we can drive growth, and we believe that growth should come soon from the Buildings & Infrastructure, and pivot to a more steady growth, rather than where we've been most recently is a flat backlog. So that's going to be our goal as we move into fiscal year 2017.
Jerry Revich - Goldman Sachs & Co.: Okay. Thank you.
Operator: The next question comes from Jamie Cook with Credit Suisse. Please go ahead.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Good morning. Can you hear me?
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Yes, Jamie, good morning.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Hey. I guess two questions. Kevin, I appreciate you guys narrowed your guidance range – still seems pretty wide, I guess, given we have one quarter left. But your guide does imply, I think, for the fourth quarter you'll be at, I don't know, $0.73, $0.74 versus the Street's at $0.81. And it would imply sequentially we're down, which surprises me, just given the progress you guys have made on the margin side and the fact that backlog is holding okay. So is there anything unusual in the fourth quarter? Because obviously that has implications for how people are thinking about 2017 and the sustainability of the cost savings that you guys are generating. And then my second question, on a positive, relates to the DSOs, where you saw a pretty nice improvement sequentially. So, again, is there anything unusual in that? Is this a sustainable sort of DSO number? Thank you.
Kevin C. Berryman - Executive Vice President and Chief Financial Officer: So, a couple comments. Thanks for the question, Jamie. The first one as it relates to the sequential commentary relative to what our guidance is. Look, the guidance is – we feel it's an appropriate level. We've narrowed it a bit. There still is volatility out in the space out there, as you know, about it as it relates to certainly the Petroleum & Chemical side of the business, as well as just the general economic situation and some unease relative to elections and implications and so on and so forth. So we just thought it appropriate to do so. Regardless of that, though, your comment as it relates to the sequential piece is – two comments I would make. The first is that typically, this last quarter is a quarter that is generally impacted by a lower level of kind of billings because of the holiday periods in Europe, in the U.S., and so on and so forth. So that's a general comment. So effectively, sequentially, we tend to open that we'd be (42:37) down versus the third quarter. I think that's kind of a normal kind of dynamic over the course of the year, fourth quarter versus the first three. The other point certainly is that, as we think about going forward, we're continuing to invest back against some of the savings. You heard about the aviation spend and some of the investments in support there. So, as it relates to the savings initiatives, certainly take into account the fact that there will be some investments that will help offset some of those savings opportunities.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Thanks. And, Kevin, can you quantify the level of investment in the fourth quarter, just so we know what's implied and how we think about that as sort of run rate for next year?
Kevin C. Berryman - Executive Vice President and Chief Financial Officer: Look, versus year-ago, certainly we're going to be higher in terms of our investments in certain employee costs Q4 over Q4, so that's – if you see some of the numbers relative to the change versus year-ago, employee costs are going to be higher in the fourth quarter versus year-ago as we true up all of the final costs associated with our various programs in Q4. So won't talk about specifics, but we're going to provide a little bit better idea when we finalize our strategy and the go-forward as it relates to what our investment opportunities are, what they will be relative to the savings, so you get a good perspective on what the run rates will be going forward.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay. And then, sorry, the DSO improvement?
Kevin C. Berryman - Executive Vice President and Chief Financial Officer: Look, DSO – we've talked about – thanks for the reminder. We've talked about there being really good progress being made in terms of activity levels over the first three quarters of the year, although we haven't seen very good progress in actually the financial numbers. This quarter we really saw the traction start to gain, and we fundamentally believe that we have more work to be done and that there are additional opportunities. So we're continuing to drive that going forward, and we expect that there will be incremental opportunities going forward versus specifically the accounts receivable figures that we have reported this quarter.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay. But is this a sustainable number or no, on a relative basis?
Kevin C. Berryman - Executive Vice President and Chief Financial Officer: I would hope that we'll be able to do a better job going forward.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay, all right. Thank you; I'll get back in queue.
Operator: The next question comes from Steven Fisher with UBS. Please go ahead.
Steven M. Fisher - UBS Securities LLC: Thanks; good morning.
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Morning, Steve.
Steven M. Fisher - UBS Securities LLC: Morning. Your sales upgrades, cost reductions, and buybacks are helping keep EPS flat in a lower revenue environment. I know you just talked about some of the investments you're making in the fourth quarter, but as we kind of move forward here, what's your confidence that we could start to see that year-over-year EPS start to accelerate? And do you think you actually need backlog growth in order to get EPS growing at kind of a double-digit pace?
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Well, let me just start by saying where we have the most confidence is improving our fundamentals of delivering projects and becoming even more efficient in both our cost and capital that Kevin was talking about. And so we believe in all of that we've got significant opportunity over the next several years and would expect to drive another improvement in being able to optimize cost, improve margins as we go into 2017. And as it relates to the backlog and growth side, obviously that's where we want to start pivoting. And certain end markets and certain LOBs are going to have more of an opportunity to do that than others based on the external dynamics. But as we continue to drive internal improvements on our project delivery, we are putting pressure on ourselves to start turning the backlog up at some point in the near future.
Steven M. Fisher - UBS Securities LLC: Okay. Maybe to pin you down a little more if I can. But, I mean, should we be thinking that EPS growth is in the cards going forward from here, not sort of a flat to down a little?
Kevin C. Berryman - Executive Vice President and Chief Financial Officer: Well, ultimately, our strategy isn't about long-term flat EPS. So clearly the expectation as we pivot to growth, as Steve highlighted, we're going to be pivoting off of a stronger foundation of margin, and ultimately that would relate to incremental growth in terms of earnings that we'll ultimately be able to realize. Having said all of that, Steve's point about continuing to focus on delivering better margin for what we got today is continuing to take place. We expect that there are some additional benefits there, but for us ultimately to get the kind of earnings per share that we're looking for longer term, i.e., profitable growth, we got to see some growth. And we're looking to pivot to do that. And it's in the hopefully relatively near future.
Steven M. Fisher - UBS Securities LLC: That makes sense. Just in terms of Motiva, the arbitration is supposed to get underway in September. In your new disclosures you now say it could have a material effect but based on the information you have, you don't think it will have a material effect. Is there just any way for investors to get comfortable that the impact is not going to be material? Just trying to figure out how to think about it here as it gets underway in December (48:20).
Kevin C. Berryman - Executive Vice President and Chief Financial Officer: So, look. You have the disclosure in front of you. It is how we very much feel about the situation on this particular item. And we continue to feel very positive as it relates to what our position is and how our discussions are going. So I think that I'll probably leave it there, and we fundamentally believe that the disclosure is an appropriate description of our situation and what we believe will happen.
Steven M. Fisher - UBS Securities LLC: Okay. Thank you.
Operator: The next question comes from Andrew Kaplowitz with Citigroup. Please go ahead.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): (49:05)
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Good morning.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): (49:07) Steve, let me try and pin you down a little bit more on backlog in the sense that it sequentially rose in the Q (49:14) despite $200 million of FX translation. You talked about expecting stability in the Q (49:19), but the results seem at least modestly better than stable in a difficult environment. Can you grow sequential backlog in this environment? If so, how much of the growth is self-help driven, given your initiatives, such as – you've been expanding the aviation field services businesses. (49:34) I know you just announced these things, but this has been part of your – as you guys came in, Steve, last year you talked about governing the aviation (49:45) business in particular?
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Yeah, Andrew, it's real difficult to hear you, and I know you're asking about backlog and our ability to grow it. But we couldn't catch you everything you were saying because it didn't come in clear.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Okay, so let me just rephrase this real quickly. You've grown sequential backlog, but you've talked about stability for this quarter, and you grew it despite FX translation (50:14). So what I'm trying to figure out is how much of the growth is sort of your own initiatives in a pretty difficult environment. You've talked for a year now about expanding your aviation business, and I know you're adding more resources to it. But this has been a while now of focusing on these initiatives.
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Yeah, so let's just talk about backlog for a few minutes and where we've transitioned from, say, a few years ago to today. As we look at our mix of businesses and what's happened in the marketplace, we've been faced with a significantly declining backlog over the last couple years in some of the heavy-hit commodity areas like mining and like upstream oil and gas. And the good news from our backlog standpoint is sort of all that decline now is essentially behind us because other than the new Rio Tinto project and some of our sustaining capital et cetera, we really don't have much in the backlog as it relates to those heavy hard-hit areas. And what we've done is been transitioning to expand our customer base away from – in addition to the traditional customers we've had. And as we do that, that takes time to replenish and start building backlog in some of those growth areas. As I look at our lines of business, we should be able to soon grow backlog in Buildings & Infrastructure. It's an area that provides us growth. We have strong positions. We're very well diversified. We're not happy that our backlog has been flat. We should be able to do better. When we look at the downstream chemical side, we believe that over the next 12 to 18 to 24 months, you're going to see more and more of our Jacobs Petroleum & Chemicals backlog become that sector. And we think there's significant opportunities there. Obviously Aerospace & Technology, as we are gaining success now in rebids and shifting to some new areas, especially in the U.S., we expect at some point that that should put points on the board from a backlog standpoint. So we're excited and encouraged about our opportunity to grow. And we just need to start demonstrating that over the near term.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): And I guess, Steve, is it fair to say that in the short to medium term, you could continue to grow sequential backlogs even with still difficult Petroleum & Chemicals markets?
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Yeah, I believe we have the opportunity to continue to put some modest growth on the board, and so we need to go out now and execute that.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Okay. Kevin, just shifting gears, this is the third quarter in a row that gross margin was up sequentially pretty significantly. It looks like mix is helping you a little as your lower-margin in Petroleum & Chemicals business is the weakest. But we know you're facing pricing pressures, so your initiatives to pursue higher-value margin work seems to be working. I asked you last quarter, but let me ask you again, is your backlog gross margin still higher than your revenue margin? And then how much more improvement can you get from cutting out sort of the underbid or loss-making type projects that you had if we go back a year ago?
Kevin C. Berryman - Executive Vice President and Chief Financial Officer: Look, I think, Andy, couple comments are appropriate to make. It's very clear that as we think about how we want to drive our growth agenda going forward, we're not just thinking and talking about a top line figure. We're talking about top line that is profitable, and of course there's varying degrees as it relates to mix of business and dynamics that we have to take into account. But we're not just looking for growth for growth's sake. We want it to be profitable and result in incremental margin profile that is able to be realized. So, yes, there's certainly a mix benefit because of the dynamic you outlined. But when you look at the margin profile at each of the respective LOBs, you see a consistent theme where margins by the LOBs are also improving regardless of what percentage they make up of the total business. So I think that that is indicative of the focus that ultimately we're trying to drive, and which I think the LOB are doing a great job on, is – look, it's about a profitable growth agenda that ultimately we're going to have to drive, which is the foundation of being able to drive incremental EPS longer term. And of course combined with our focus on the working capital side it ends up being capital-efficient growth as well. So I think you can see that there is both sides of the coin which are helping us. One is the mix is, in itself, good – overall mix – but if you look by LOBs we're also seeing improvements. So I think that bodes well for your comment about, are we seeing some benefits? And I think that intensely competitive environment in which we are, we hope to be able to improve that, and longer term that certainly is something that we'll be pushing for.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Got it. So margin in the LOBs is still higher in backlog than revenue. Is that fair, Kevin?
Kevin C. Berryman - Executive Vice President and Chief Financial Officer: Well, look, as you – I'd have to go back (55:42) to yes, in general yes. But look at the results so far, too. We are seeing that the margin profile is looking good by each of the LOBs, and there's actual sequential improvement that's occurring.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Thanks, guys.
Operator: The next question comes from Andy Wittmann with Robert W. Baird. Please go ahead.
Andrew J. Wittmann - Robert W. Baird & Co., Inc. (Broker): Great. Thanks. Hey, guys, I guess I wanted to just understand a little bit more about some of the reinvestments that you alluded to that could be coming in the future. So I guess, as you look, Kevin, as we head into 2017 in a flat revenue environment, do you expect that the SG&A line would be flat or down or is it up? In other words, how do the SG&A margins move from here on kind of a year-over-year basis? Do the reinvestments take up all of the savings, part of the savings, more than the savings?
Kevin C. Berryman - Executive Vice President and Chief Financial Officer: Well, a couple points. First is the one that if you look at our G&A over the course of the year, we're down $102 million versus year-ago in the first three quarters of the year. And some of that is netted against some of the incremental investments that we're already making. So clearly there's a net benefit, which is clear relative to the lower G&A figures. We expect that we should be able to continue to realize these benefits. Of course, over time, we're going to have to invest in merits, we're going to have to invest in training and development of our people, and so there will be some offsets of that. The idea, though, of our strategy is not for when we get back to growth that our SG&A and our G&A figures are going to go up correspondingly with our growth in the gross margin dollars. That's what it's all about. It's about having the discipline when we start to see those gross – that you get the growth leverage, a better growth leverage relative to those incremental dollars. So I think of G&A more as fixed in that we always got to try and figure out how to keep those numbers consistent and certainly growing less over the long haul with the gross margin growth so you get the incremental leverage.
Andrew J. Wittmann - Robert W. Baird & Co., Inc. (Broker): Got it. Two more quick follow-ups on the margin line. One is, referring to the fact that you guys have talked about that there could be more adjustments in the company, restructuring that could be happening, maybe like you call it a next wave. Can you give us an idea of how developed those are here today, and what we could be expecting from them? And then maybe just a more simple question, which would be, what are the trends you're seeing in like-for-like type business? Are you seeing steady margins, improvements, or decline?
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Yeah, so I think what you're going to hear us talk more about going forward is shifting from what we called our restructuring initiative to productivity, efficiency, just a fundamental of improving our main product and that is executing projects. And so, yes, we do believe we have a rich pipeline of opportunities. The strategic review's revealing that. We think we can continue to optimize our footprint in a way that can facilitate growth, and at a much more efficient basis. When we compare what we start off and committing to with regard to projects and the margin that we should be getting, that's agreed in our contracts, and ultimately what we get at the end of the project, we've got significant opportunity to do better. And so with that all said, that should lead to margin improvement across all of our four lines of businesses as we pursue that. And so we have not completed, by all means, our cost initiatives, but we'd like to be moving from a restructuring basis to strategic improvement.
Andrew J. Wittmann - Robert W. Baird & Co., Inc. (Broker): Great. On like-for-like margins, are there any markets that are showing positive trends or correspondingly negative trends in other markets where there's material movement in margin trends as bid?
Kevin C. Berryman - Executive Vice President and Chief Financial Officer: So, look, we've called out that there's a couple areas where certainly the market is facing some pressure, obviously in Petroleum & Chemicals. That's one area. And mining, where those opportunities are challenging in terms of the margin profile. And of course we called out, in our prepared remarks, some of the dynamics in the Middle East and Saudi Arabia. So, yeah, there are areas where we're facing some pressure. I guess what I will come back to is again, we're seeing, as it relates to our margin profile, improving. And we've seen that over the course of this 2016 fiscal year, where we're seeing continued sequential improvement. So I think in general, those positives are offsetting some of the market conditions that we're seeing overall.
Andrew J. Wittmann - Robert W. Baird & Co., Inc. (Broker): Yeah, okay. Thank you.
Operator: The next question comes from Tahira Afzal with KeyBanc. Please go ahead.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Hi, folks. Most of my questions have been answered. I just had a couple of end market questions for you. Number one, yourselves and your peers started talking a lot about smart Internet-oriented buildout going forward. Can you talk a little more about how material that opportunity could be for you from a two- to three-year perspective? Do you need to partner with some tech firms to do that? And the second question is really on the space side. I know you're pretty big with NASA. We've started to see pretty fast growth in capital allocation to some of the commercial private space programs, too. If you could talk about the opportunity there.
Steven J. Demetriou - Chairman, President and Chief Executive Officer: I'll work backwards and start with your second question. We feel good in our position of where things are being funded. NASA and intelligence community agencies appear to be well-funded. So the business that we're in around energy, defense, space, and intelligence, we see a good, steady, ongoing funding situation, and our clients are telling us that. And so we just need to maintain our excellence in winning those projects and continuing forward. As it relates to the first question, Tahira, could you just recap the first part of your question again, so I make sure I answer it correctly?
Tahira Afzal - KeyBanc Capital Markets, Inc.: Sure, Steve, in your prepared commentary, you talked a little about the Internet of Things and how that's started to trickle into the sector. How meaningful could that be for you from a two- to three-year perspective? Largely more so because I haven't heard you talk about that that much before?
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Right. Look, we're going to be able to talk a lot more in November, and we're excited in what we're leading up to around that. And I think what you are going to hear is that that segment and Internet of Things, IT, cyber, mission-critical, those elements of our portfolio, are going to be an important part of our strategy going forward. And we think we have capabilities internally already with the Van Dyke initiative with our capabilities that we have in Australia and U.K. and U.S. specifically. We see smart cities being developed all over the world, including the Middle East, and we're engaged in initiatives there. And as we make final decisions on where we're going to put M&A capital potentially in the future, potentially that could lead to some thematic acquisition opportunities that expand our capability in what we believe will be a growing market. So, how significant, all that, we'll talk more about that in November. But I think you'll continue to hear that as part of several growth opportunities that we're going to be pursuing over the long term.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it, okay. Thank you, Steve.
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Thank you. (1:04:28)
Operator: The next question comes from John Rogers with D.A. Davidson. Please go ahead.
John B. Rogers - D.A. Davidson & Co.: Hi, good morning.
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Morning.
John B. Rogers - D.A. Davidson & Co.: Morning. A couple of just follow-ups. Kevin, maybe first for you, in terms of the cost savings on the restructuring, the $240 million to $270 million, how much are you realizing now and how much is incremental in 2017? I guess, and how much do you expect to have to share with customers?
Kevin C. Berryman - Executive Vice President and Chief Financial Officer: Well, if you look at the run rate that we have so far this year, let's just take the absolute level of reduction in G&A year over year. We talked about $100 million plus, right, $102 million over the first three quarters of the year. We've already talked about there having been savings of $50 million last year. So we're cumulatively on top of that figure. So we're kind of, at a minimum, at $150 million with a little bit more to go, since we're continuing to spend against our efforts. So I think the bulk of these benefits we are realizing, and we're coming to be able to realize the vast bulk of it over the course of 2016, and there will be a small piece that goes into 2017, which will help further mitigate against any potential increases in salaries or whatever that we may want to consider in 2017.
John B. Rogers - D.A. Davidson & Co.: Okay. Thank you. And then, just in terms of the strategic or the strategy update that you'll be talking about in November. The schedule for talking about it is pushed out a little bit. And I'm just wondering, have the options changed significantly? I know you don't want to get into it now, but the range of possibilities or what you're looking at, any more color there?
Steven J. Demetriou - Chairman, President and Chief Executive Officer: I wouldn't read into anything around the timing. We had thought about, as we completed the overlay strategy, if you will, of our corporate strategy that we would come out and talk about that earlier in the fall. But as we got into it and really got together as a leadership team and recognized that it isn't a one-size-fits-all, that we have four lines of business, that we are better off progressing each of the business strategies at which we're now have entered that phase, and be able to come out and talk about not only where we're going as a whole company, but how that gets translated into each of our lines of business. And so that was the ultimate decision of let's do it in November where we'll be ready to do all that.
John B. Rogers - D.A. Davidson & Co.: Okay. Thank you.
Operator: The next question comes from Chad Dillard with Deutsche Bank. Please go ahead.
Chad Dillard - Deutsche Bank Securities, Inc.: Hi. Good morning.
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Good morning.
Chad Dillard - Deutsche Bank Securities, Inc.: So, within the Buildings & Infrastructure segment, one of your competitors talked about getting to the point where they have more projects than they can bid on. Are you seeing this as well? And how would that translate into pricing for you and how to contemplate margins for that segment?
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Look, I started some of the backlog discussion over some of the other questions earlier today, saying that I believe there's great opportunity across the globe in Buildings & Infrastructure, and we're extremely diverse. And, yes, there are a rich set of opportunities, but there's also a strong competitive base. And so what we're all about is high-value project opportunities. Not going after things just for the sake of billable hours or revenue. But actually where we can get good, sustainable, high-value growth. And that's what we're focused on. And we believe those opportunities are there, and what we are finding that our clients want, in addition to good economics, is they want quality suppliers or B&C companies. And what we're spending time is explaining to our clients some of the changes we've made and how we're getting more capable and more focused on win-win opportunities where we're creating value for them and where we're seeing better margins for ourself. And that's what you're going to hear more about as we go to 2017 as you hear about our plans and also from a strategic standpoint.
Chad Dillard - Deutsche Bank Securities, Inc.: Got it, okay. And then just moving on to cash flow, how should we think about free cash flow in the last quarter of the year and kind of early thinking about 2017 with respect to the cash restructuring costs kind of shaking out? And then where do you think you can end up on, on the working capital front, given that you've made some pretty good progress there?
Kevin C. Berryman - Executive Vice President and Chief Financial Officer: So on the cash flow, Chad, certainly we talked about the working capital and that we do not believe we're done there, and we're looking to try – continued benefits there. I will say, just to quantify what our expectations are maybe a little bit more, we set established targets for each of our lines of business and for ourselves at the corporate level at the beginning of the year, and we're driving towards figures. And I will tell you that we're not necessarily all the way where we wanted to be in terms of our targets for the year. So that in itself should indicate that we're continuing to drive for incremental benefits beyond where we are today. So that's the first point. I do believe that there will be at some point in time, when we get to a more efficient cash structure supporting our business, that the incremental cash flow dynamics will not be at the magnitude that we've had this year obviously. The other dynamic that we certainly have to understand is that our business is not in a growth mode exactly right now, and there are implications on what cash flow dynamics occur during that particular period of time. So hopefully we'll have the high-class problem when that pivot occurs where we have profitable growth going forward, and then ultimately if we're at the capital efficient place that we would like to have, that will be translating into a good cash flow conversion going forward. But certainly the number for this quarter, for example, well above net income, is not a sustainable figure, but ultimately we certainly would like to think that we're going to be able to have a really good, solid conversion factor going forward.
Chad Dillard - Deutsche Bank Securities, Inc.: Great. Thank you very much.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Steve Demetriou for any closing remarks.
Steven J. Demetriou - Chairman, President and Chief Executive Officer: Look, thank you for participating today. We want to thank the investment community for listening to our quarterly call. We believe the actions we're undertaking continue to increase shareholder value, and we look forward to driving long-term sustainability of a stronger and healthier Jacobs. So have a great day. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.